Operator: Good morning, everyone, and welcome to today's PVH Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you have an opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note, this call may be recorded. And I will be standing by should you need any assistance. It is now my pleasure to turn today's program over to Sheryl Freeman, Senior Vice-President of Investor Relations. Please go ahead.
Sheryl Freeman: Thank you, operator. Good morning, everyone, and welcome to the PVH Corp fourth quarter 2023 earnings conference call. Leading the call today will be Stefan Larsson, Chief Executive Officer, and Zac Coughlin, Chief Financial Officer. This webcast and conference call is being recorded on behalf of PVH and consists of copyrighted material. It may not be recorded, rebroadcast or otherwise transmitted without PVH's written permission. Your participation constitutes your consent to having anything you say appear on any transcript or replay of this call. The information to be discussed includes forward-looking statements that reflect PVH's view as of April 2, 2024 of future events and financial performance. These statements are subject to risks and uncertainties indicated in the company's SEC filings and the Safe Harbor statement included in the press release that is the subject of this call. These includes PVH's right to change its strategies, objectives, expectations and intention and the company's ability to realize anticipated benefits and savings from divestitures, restructurings and similar plans, such as the planned cost efficiency action announced in August 2022, the 2021 sale of assets of and exit from its Heritage Brands menswear and retail businesses and the November 2023 sale of the Heritage Brands women's intimate apparel business to focus on its Calvin Klein and Tommy Hilfiger businesses. PVH does not undertake any obligation to update publicly any forward-looking statements including without limitation any estimates regarding revenue or earnings. Generally, the financial information and projections to be discussed will be on a non-GAAP basis as defined under SEC rules. Reconciliations to GAAP amounts are included in PVH's fourth quarter 2023 earnings release, which can be found on www.pvh.com and in the company's current report on Form 8-K furnished to the SEC in connection with the release. At this time, I'm pleased to turn the conference over to Stefan Larsson.
Stefan Larsson: Thank you, Sheryl, and good morning, everyone, and thank you for joining our call today. For the fourth quarter and full year, we drove strong performance that was ahead of our guidance for both top and bottom line, driven by the strength of our two iconic brands Calvin Klein and Tommy Hilfiger and the disciplined execution of our PVH+ Plan. This included a very strong holiday season. For the fourth quarter, we drove double-digit growth in our owned and operated e-commerce and high-single digit growth in our stores. This was offset by a challenging wholesale channel resulting in flat revenues overall for the quarter on a reported basis and down 1% in constant currency. We continued to drive quality of sales up with higher AURs and we expanded our gross margins by 440 basis points year-over-year. On a non GAAP basis, we delivered 40% increase in EBIT dollars and 12.1% EBIT margin and an EPS growth of over 50%. For the full year, we grew revenue 2% on a reported basis and 1% in constant currency, including high-single digit D2C growth, while expanding our gross margins by 140 basis points and we drove a 9% increase in EBIT dollars and a 60 basis point increase in EBIT's margins to 10.1% and we delivered EPS growth of nearly 20% and achieved a record high EPS. We ended the year with inventory in great shape down 21% compared to last year and produced significant cash flow, which we used to buy back approximately 550 million of stock. Looking back on the first two years of PVH+ Plan execution, you can see a clear trend in that where we lean in to execute, we deliver. We have put 100% of our focus on our globally beloved iconic brands Calvin and Tommy, and divested all other regionally focused brands. We are building a very strong leadership team with experience to move PVH from a legacy brand acquirer to leading brand builder. Today, I'm especially excited to share that Lea Rytz Goldman is starting this week as Tommy Hilfiger Global President. Lea most recently comes from successfully leading the COS brand's impressive global growth. Through the PVH+ Plan, we have driven strong D2C growth for both 2022 and 2023 across all brands and all regions through strength in product, marketing, and marketplace execution. We have developed strong product category offense in key categories and must have hero products, significantly increasing AURs and gross margin rate. We are executing breakthrough campaigns with very strong global talent amplification to really cut through with the consumer. During 2023, Calvin drove more consumer engagement than at any other time in the history of the brand with mega talents such as Jennie Kim, Jung Kook, Kendall Jenner, Michael B. Jordan and most recently Jeremy Allen White. And Tommy went back to his roots of classic American cool, most recently created cut through global attention with his return to New York Fashion Week. We have strengthened the brand experience across social, e-commerce and stores, and in an increasingly tough wholesale channel, we have deepened our relationships with our key partners and applied a strong quality of sales focus globally. Regionally, we have grown our European business in a very tough macro environment with our business today over $4 billion over 20% larger than 2019 and driving higher profits. We have started to successfully unlock North America despite a choppy backdrop driving significant margin expansion, including an 8.3% EBIT margin for 2023 and we are taking back our license of core product categories as part of a multi-year transition beginning in 2025, which will allow us to draw on the power and expertise of our global brand teams. We have also turned Asia into a growth engine where we are now taking share on a consistent basis with double-digit constant currency revenue growth in both 2022 and 2023. As a company, we have successfully started to build out our data and demand-driven operating model. We are reducing inventory as a percentage of sales while driving higher availability and stock freshness. The quality of our product is up, the cost of goods is down and the pricing power is up, all leading to higher gross margins. We continue to invest behind our growth initiatives including increasing marketing spend to approximately 6% of sales for 2023 to fuel cut-through campaigns and global talent amplification all while driving cost efficiencies across the company, and we have significantly increased our cash flow, enable us to invest in growth and increase our share buybacks to historically high levels. Over the last two years, we have repurchased nearly $1 billion of our stock representing approximately 17% of our outstanding shares. Now, let me share a bit more of what drove our strong performance in the fourth quarter and full year, both from a global brand and regional perspective. Starting with Calvin Klein, the brand continued to cut through with record strong global campaigns. In the fourth quarter, our spring campaign with Jeremy Allen White captured global attention generating over $12 million in media exposure in the first 48 hours and reaching more than 40 million on the brand's Instagram. Our hero underwear styles were in the heart of culture conversation, followed by Jeremy styled in Calvin's menswear for its Golden Globes win. In the U.S. alone, week one of the campaign generated more than 30% growth in underwear versus last year. The campaign continued with Idris Elba in menswear, Jennie Kim, and Kendall Jenner in women's wear and Jung Kook in our most iconic denim, all to amplify our Calvin Klein lifestyle offering. Turning to Tommy Hilfiger. In Tommy, we continue to drive relevance by leaning into the brand's unique DNA of classic American cool. We started off the year with Tommy's return to New York Fashion Week creating a true New York moment and driving both high visibility and engagement. The Runway show had massive talent reach resulting in over 3,000 PR placements and a reach of over 6 billion. We were the most talked about brand at New York Fashion Week dominating online conversation. In February, we announced Sofia Richie as the new partner for Tommy Womenswear and last month Tommy launched its Spring 2024 campaign featuring Kendall Jenner. And yesterday, we launched a global cut-through campaign featuring StrayKids, one of the top three K-pop bands worldwide. Now, let me turn to our regional performance, starting with North America. I'm very proud of how our team continued to lean into the PVH+ Plan drivers in the fourth quarter achieving strong D2C growth, up high-single digits for both brands and delivering a significant improvement in profitability. For the fourth quarter, we again delivered a double-digit EBIT margin for the region including higher gross margins and AURs. Overall revenue for Tommy and Calvin was stronger than we expected driven by strong growth in direct-to-consumer, which was offset by declines in wholesale. For 2023, our Calvin and Tommy businesses together delivered an 8.3% EBIT margin, a big step up of nearly 500 basis points year-over-year despite modestly lower revenues. This demonstrates the significant progress we are making in building the foundation for long-term brand accretive growth in the North America region. Let me share a few North America highlights. For Tommy, the D2C growth was broad based led by seasonal premium essentials in key categories with strong AUR increases. We returned a number of stores back to 2019 profitability levels despite much lower international tourism. And for Calvin, leading with our category offers, we successfully reestablished our refined assortment. We continue to elevate online shopping experience and have delivered four consecutive quarters of high quality double-digit growth on CK.com. For both brands, we continue to build strength with our key wholesale partners led by men's sportswear. Looking to 2024 for North America. We plan to deliver another year of strong D2C growth with further increases in quality of sales across the marketplace to deliver another year of significant improvement in profitability. Turning to our international business. In Europe, building on our historically large business, market leading awareness and brand strength across both Tommy and Calvin, for 2023, the region delivered low-single digit revenue growth in euros. In the fourth quarter, revenue again exceeded EUR1 billion and most importantly delivered much stronger overall profitability. Revenue for the quarter declined low-single digits in euros compared to last year and in an increasingly tough macro, we drove mid-single digit growth in D2C, which was offset by declines in wholesale. Since we spoke in December, we have seen consumer sentiment further slow across Europe, especially, in our two biggest markets, Germany and the U.K., and we have seen our wholesale partners there become even more cautious. Let me share a few examples of what this tougher European macro means for us, and how we're choosing to sacrifice sales growth in the near term to strengthen our unique brand position in the market for the long term. Our number one focus here has been to avoid having too much inventory in the market, and we have succeeded very well with this starting the year with much less old clearance inventory than the same time last year, driven by our supply chain improvements. As an example, in February, we were up against a greater proportion of discounted sales last year and this year, we made the proactive decision to come into the month with lower outgoing stock and higher share of the new spring season inventory. As an effect, we're starting the spring season with significantly improved stock freshness, which is driving double-digit comp increases for our spring product while prior season clearance sales and inventory are down over 20%. In wholesale, forward orders from our partners have become more cautious. This is reflected in our fall 2024 order books, which we expect will be down high-single digits versus the prior year. It's important to remember that our wholesale partners are coming off a very tough fall season across the sector from last year, driven by the warmest fall starts since the 1,800s which led to too much inventory and high promotionality in the market. In this tougher environment, we are making proactive decisions towards quality of sales to build our brands for the long term and position us for sustainable brand accretive growth. In wholesale, this means in mid-year 2024, we are stopping sales of our brands by third parties on digital platforms and significantly reducing the number of digital platforms that we sell to. This will increase the quality of sales with our most important wholesale partners across both bricks-and-mortar and online. And across all channels, we are buying inventory much closer to demand significantly reducing our need to manage discounted prior season inventory. The collective impact of these quality of sales decisions is a reduction equivalent of approximately 5% of our total sales for our 2024 European business. It will drive gross margin expansion and more importantly enable brand accretive growth over time. In parallel to these quality of sales improvements, we're also stepping up our product category offers, driving innovation in key categories and must have essentials for fall 2024, where we will have more transitional products, more technical fabrics, more dress casual and this has been very well received by our key wholesale partners. It will also further strengthen our D2C execution where we have the most control over the brand experience and we continue to drive increased pricing power and margin expansion. Moving to Asia-Pacific, our Asia team's disciplined PVH+ Plan execution across both Calvin and Tommy drove strong growth for both the quarter and the year. For the year, the region delivered revenue growth of 15% in constant currency including growth of 17% in the fourth quarter led by D2C. China is an important growth engine with growth over 20% in local currency for both the fiscal year and fourth quarter as we successfully captured key consumer moments. Outside of China, fourth quarter performance was also strong with over 30% growth in Korea and double-digit growth in Japan in constant currency. We delivered strong e-commerce growth with both brands achieving double-digit growth during Double 11 and ranked among the top international brands on Tmall. Revenue and market share set new records on Douyin as we continue to engage consumers in new ways. We continue to win in the important Lunar New Year holiday fueled by successful capsule launches and consumer activations for both brands. Our brands and products have a clear premium positioning with opportunity to grow further in all markets. We continue to focus on driving overall brand awareness, especially in China where both Calvin and Tommy are underpenetrated. Now, let's switch gears and turn to our overall company outlook. Following the strong 2023 where we gain traction on each of the underlying growth drivers of the PVH+ Plan, we will build on this momentum in 2024. Across the company, we are leaning into the next level of PVH+ execution. This will directly translate into growth in Asia and North America, while in Europe where the macro has become more challenging, our focus is on quality of sales to further strengthen our market leading position. From a number's perspective, this translates into our guidance for 2024 of revenue down 6% to 7% or down approximately 3% to 4% on a comparable basis, excluding the sale of our Heritage Brands intimates business at 53rd week in 2023. We're driving further gross margin expansion and despite the deleverage from our European business, we will maintain our EBIT margins versus 2023. At the same time, Zac will take you through how we are leaning in to unlock significant cost efficiencies in a way that we will even better align our cost structure to the PVH+ growth drivers leading to another year of EPS growth in 2024. As we go forward, we will further strengthen Calvin and Tommy's brand desirability by building out our global product, marketing experience engines under the strong global brand leadership that we now have in place. We will continue to amplify our category offense and key hero product strategies globally. We will further win with consumer engagement by executing strong cut through campaigns amplified by the best global mega talent. And in the marketplace, we are relentlessly focused on driving higher quality of sales across all regions and channels which will continue to drive pricing power and margin expansion across the company. Everywhere the consumer and macro will allow we will drive high quality revenue growth and where the consumer and macro are tougher, we are willing to sacrifice short term, low quality revenues in order to strengthen our brand position and pricing power. This is the right way to build our brands and business for the long term. In D2C where we have the most direct control of the shopping experience, you will see us drive high quality growth across both brands and all regions. We will continue to elevate the consumer experience online and offline in our owned and operated channels as well as with key wholesale partners. You will see us continue to build out our demand driven supply chain, maximizing inventory productivity and across the company, you will see us investing in long term growth in areas including marketing as well as CapEx for technology, store renovations, new store expansion and supply chain initiatives. At the same time, we're getting in even better shape from a cost-efficiency perspective which Zac will share more details on. And lastly, we will continue to significantly improve our cash flow, which will enable us to make further stock repurchases. In closing, in 2023, we fully focused on and strengthened the desirability of our two globally iconic brands, Calvin Klein and Tommy Hilfiger, and we drove very strong financial performance across both brands and all regions. For 2024, we will continue to build on the PVH+ execution momentum across the company that will translate directly to growth in Asia and North America, while we sacrifice near-term sales growth in Europe to further strengthen our unique market position there for long-term brand accretive growth. Our PVH plus momentum is building in both the consumer-facing parts driving the brand desirability up in product, marketing and marketplace, and in how we build out the data and demand-driven business engine step by step guided by our PVH+ Plan, we're building Calvin Klein and Tommy Hilfiger into the most desirable lifestyle brands in the world and making PVH one of the highest-performing brand groups in our sector. And I want to thank my entire team for all your great work in making our vision come to life. And now, I'll turn the call over to Zac.
Zac Coughlin: Thank you, Stefan and good morning. My comments are based on non-GAAP results and are reconciled in our press release. As Stefan discussed, we are pleased with our results for the fourth quarter and full year 2023 driven by our iconic brands and disciplined execution of the PVH+ Plan. For the fourth quarter, we delivered revenue flat to the prior year and more importantly, we delivered significant earnings growth in the quarter versus last year led by the sizable step up in our gross margin we had planned for all year. Our EBIT was $301 million, 40% higher than prior year and our operating margin for the quarter was 12.1% up 350 basis points versus last year. On the bottom line, we once again exceeded our guidance with a record-setting fourth quarter non-GAAP earnings per share of $3.72 which was over 50% higher than last year. Our ability to drive significant operating margin expansion and earnings growth in spite of the challenging macroeconomic environment is a testament to our disciplined execution. We also delivered strong cash flow this year with free cash flow of over $700 million. This includes inventory being down 21% compared to last year as we continue to position inventory to focus on quality of sales. We also completed the sale of our Heritage intimates business in the fourth quarter for $160 million. The results of our work on cash allowed us to repurchase $280 million of shares in the fourth quarter and an all-time high of 550 million share repurchases for the full year. I will now discuss our 2023 results in more detail and then move on to our outlook for 2024. As I mentioned earlier, revenue for the fourth quarter was flat compared to last year and reflected a 1% positive impact from exchange. The benefit from the 53rd week was largely offset by the revenue reduction from the sale of the Heritage intimates business. Starting from a regional perspective, fourth quarter revenue for our international business was up 3% on a constant currency basis. Sales in our Asia Pacific business were up 17% on a constant currency basis and up 13% on a reported basis as strong consumer demand drove growth in all markets led by China, where the lifting of COVID restrictions negatively impacted the fourth quarter last year. Sales in Europe were down 2% in euros as mid-single digit growth in the DTC business was more than offset by high-single digit decline in wholesale sales. In North America, revenue for the Tommy Hilfiger and Calvin Klein businesses combined was down 2% as high-single digit growth in DTC was more than offset by a decline in wholesale sales. Within DTC, our retail stores were up high single digits and our owned and operated e-commerce business was up mid-teens. Looking at overall fourth quarter revenue from a channel perspective, we continue to drive strong performance across all regions in our DTC businesses. Our total DTC revenue was up 9% on both a reported and constant currency basis in the quarter and also up 9% on a constant currency basis in both our stores and our owned and operated e-commerce with approximately half of the increase due to the benefit from the 53rd week. Total wholesale revenue for the quarter was down 10% on a reported basis and down 12% on a constant currency basis as retailers around the world continue to take a cautious approach to orders and shipments, this includes a 3% reduction from the sale of the Heritage intimates business and a benefit from the 53rd week. Turning to our global brands. Calvin Klein revenues were up 4% and Tommy Hilfiger revenues were up 1% on a reported basis. On a constant currency basis, revenue for Calvin Klein was up 3% and Tommy Hilfiger was down 1% as the macroeconomic challenges impacting Europe weigh more heavily on the Tommy business. Importantly, our DTC business was up in both brands and in all regions. In the fourth quarter, we delivered record high gross margin of 60.3%, an increase of 440 basis points compared to last year with approximately half of the improvement due to a favorable shift in channel and region mix and approximately half due to lower raw material costs and ocean freight rates. SG&A expense as a percent of revenue for the fourth quarter was 48.2% an increase of approximately 100 basis points versus the prior year. The increase is more than explained by higher expenses due to DTC mix, partially offset by an approximately 125 basis point improvement in expenses versus last year due to savings realized from the actions we have taken to reduce people cost and prudent management of expenses. In total, EBIT for the quarter was $301 million, 40% higher than the prior year and exceeding expectations. Operating margin was 12.1% and expanded 350 basis points compared to last year with improvements in all regions including a 550 basis point expansion for North America for Calvin Klein and Tommy Hilfiger combined. Earnings per share increased over 50% to $3.72 compared to $2.38 in last year's fourth quarter and exceeded our guidance by $0.27 largely driven by the EBIT improvement. Our tax rate for the quarter was approximately 21%. For the full year 2023, we drove significant profitability and earnings growth versus last year in spite of the challenging macro environment. Revenue was up 2% versus last year including a positive impact of 1% from exchange and EBIT was up 9% driven by operating margin expansion. Our operating margin of 10.1% reflected a 60 basis points improvement versus last year and on the bottom line we delivered record high non-GAAP EPS of $10.68 for the year, which reflected growth of 19%. Now, moving on to our outlook. In 2024, we are committed to building on the momentum coming out of 2023, leaning into the PVH+ Plan to drive profitability improvements in North America, strong growth in Asia Pacific, a focus on quality of sales in Europe further matching inventory to demand and delivering efficiencies to fund future growth. That said, we have taken a cautious approach to planning 2024 due to the softening consumer backdrop we saw in January and February in a conservative wholesale environment. For the full year, overall revenue is projected to decline between 6% and 7% on both a reported and constant currency basis compared to 2023, including a 2% decline due to the sale of the Heritage intimates business and a 1% decline due to the 53rd week in 2023. We expect full year operating margin will be approximately flat compared to 10.1% in 2023 and are projecting earnings per share in a range of $10.75 to $11 up low single digits versus 2023 despite the top line pressures. Our sales outlook for the North America Calvin Klein and Tommy Hilfiger businesses combined is planned up low-single digits versus 2023 with mid-single digit growth in the DTC business tempered by wholesale. Within wholesale, we are focused on strong quality of sales and winning with our key wholesale partners, but we do see retailers continue to take a cautious approach. This wholesale environment is also impacting our licensing partners in the region and our overall licensing revenue is planned down high-single digits. Asia Pacific has planned to grow high-single digits on a constant currency basis with growth again projected in all markets and led by DTC. Now turning to Europe. As Stefan mentioned, we saw consumer sentiment further slow in January and February and our fall 2024 order books are increasingly cautious. In this tougher environment, we are making strategic choices to focus on higher quality sales across all channels. As a result, we have planned Europe sales down high-single digits in euros, wholesale has planned down low double-digits for the reasons I just mentioned and DTC is planned down low-single digits with modest comp door growth offset by reductions in our owned sales through third-party platforms. While overall revenue is projected to be lower than 2023, our gross margin is expected to increase approximately 200 basis points reaching an all-time high with approximately half of the increase due to channel and customer mix as we grow our higher margin DTC business and decreased sales to lower margin wholesale accounts and approximately half due to lower raw material costs, which were elevated during the first half of 2023, but began to ease in the second half. SG&A dollars are planned down for the full year 2024 as compared to 2023, but are expected to increase approximately 200 basis points as a percentage of revenue. Approximately 150 basis points of the increase is due to the deleverage of expenses on our lower European revenues in 2024 and approximately 150 basis points is due to higher DTC mix. Beyond those two impacts, we continue to drive approximately 100 basis points of cost efficiencies across the business while at the same time maintaining strategic investments in our global brands including marketing in order to drive long term growth. As a result, we expect our full year operating margin will be approximately flat compared to 10.1% in 2023. Excluding a significant impact of deleverage due to sales, operating margin would have been approximately 150 basis points higher. Interest expense is projected to be relatively flat compared to $88 million in 2023 and our tax rate for the year is estimated at approximately 21%. Looking at the balance sheet, we are heading into 2024 in a very strong financial position. Working capital is in great shape and our leverage is low. We are projecting capital spending of approximately $300 million as we invest in our stores, supply chain and technology in line with our PVH+ priorities. And with the $2 billion increase to our share repurchase program that we announced yesterday, we are currently planning $400 million of share repurchases in 2024. Turning to the first quarter, we are projecting revenue to decline approximately 11% as reported and approximately 10% on a constant currency basis compared to the prior year, including a 3% decline due to the sale of the Heritage intimates business and a 1% decline due to the impact on wholesale sales from the 53rd week in 2023. While we are projecting low-single digit growth in our DTC businesses, we expect this will be more than offset by a decline in wholesale revenue primarily in Europe for the reasons I mentioned earlier. We expect our first quarter operating margin to be approximately flat to first quarter last year with higher gross margins fully offsetting the loss of leverage due to the decline in revenue. Our first quarter earnings per share is projected to be approximately $2.15 compared to $2.14 in the prior year. Our tax rate for the first quarter is estimated at approximately 21% and interest expense is projected to be approximately $20 million. Looking ahead beyond 2024, we remain confident in our path to achieve the 15% operating margin target we committed in the PVH+ Plan. We will do that through improvements in both gross margin and SG&A. As discussed earlier, we will take a significant step up in 2024 in gross margin through a focus on quality of sales and significant supply chain improvements. We expect to see the improvements continue beyond 2024 and while we have made significant progress in SG&A expenses, we are not close to done there either. We are embarking on the next phase of growth driver five of the PVH+ Plan to drive efficiencies in a couple of meaningful ways. First, on technology, we have completed a global study of our IT spending and the result is a roadmap to decrease global technology spending by over one-third. We will do that by delivering a single global tech stack that all business units will leverage. And in January, we onboarded a new global Chief Technology and Information Officer with experience driving global transformational change at other best-in-class consumer companies. Next is a focus on global logistics costs. We've already delivered a significant reduction in inventory. This lighter supply chain allows us to redesign our global logistics network to be more efficient. We expect this to deliver over 50 basis points in operating margin improvement. There is also ongoing work that continues within our support functions globally. We see opportunities to centralize processes and improve systems and automation to drive more efficient and cost-effective ways of working again led by a focus on consistent execution of the PVH+ Plan around the world. We believe this would generate at least 50 basis points of operating margin improvement. And finally, in Europe. Historically, our global Tommy Hilfiger global brand and Europe commercial organizations have been highly intertwined leading to complex ways of working. With the appointment of Lea Rytz Goldman as the leader for the global Tommy brand, this allows us the opportunity to reengineer the European operating model and unlock significant efficiencies. The work on these initiatives has already begun and will continue over the next couple of years. We expect this work to result in an incremental 200 basis points to 300 basis points of operating margin improvement on top of the SG&A leverage we expect to recapture as we grow our global brands in the future. Before we open up for questions, I want to reiterate that we remain confident in our ability to win in a tough environment as evidenced by our performance in 2023. We continue to work relentlessly to drive results and as Stefan talked about earlier, we are laser focused on executing the five key growth drivers of the PVH+ Plan bringing together the consumer facing growth drivers of product, consumer engagement and marketplace with our underlying operating engines to deliver sustainable, long term profitable growth. And with that operator, we would like to open it up to questions.
Operator: [Operator Instructions] Our first question comes from Matthew Boss with JP Morgan. Please go ahead.
Matthew Boss: Great, and thanks for all the additional color. So two-part question maybe Stefan first. Could you speak to underlying health of the Tommy and Calvin brands today or maybe just help elaborate on current direct-to-consumer demand trends that you're seeing across geographies. If we could parse through the sales that you mentioned that you're proactively sacrificing at both direct and wholesale. And then for Zac, what gives you confidence in mid-teens as the right margin structure multi-year and how does the 2024 forecast alter the path?
Stefan Larsson: Well, thank you. Thank you, Matt, and good morning. Okay. Let us take the three different parts of this question. I'll start with the two first. So if it comes to, let's start with brand strength. So, as I mentioned, we see an all-time high consumer engagement across both Calvin and Tommy. And if we look at the start of the spring campaign with Calvin with their campaign with Jeremy Allen White, we had the biggest cut-through campaign in all of the fashion industry. So some data to back up that. So we had an earned media value of over 74 million so far with that campaign, we have 134 million engaged brand fans on Instagram, which was 60% up versus same time last year. And then the engagement of those 134 million were 13%, which was up 85% year over year. So what you're seeing from Calvin is a demonstrated consistency in delivering cut-through campaigns with Jennie Kim, Kendall Jenner, Jung Kook and you will increasingly see new talent coming into the brand on a consistent basis. So that's Calvin. On Tommy, we have developed a consistent, you'll see a consistent way of driving high relevance through going back to the unique DNA of the brand classic American cool. So a few examples from this spring. Tommy went back to New York Fashion Week. We had a reach of over 6 billion. So when we do the fashion show with Tommy, we also work with maximizing the talent reach on the front row and 6 billion took us to the most cut-through show in New York Fashion Week, plus, it took us as the only non-luxury brand into the top ten of all brands, luxury included across all fashion weeks globally. So you look at New York, London, Milan, Paris, so top ten. And yesterday, as I mentioned, we launched another cut-through campaign with Tommy featuring StrayKids. And StrayKids is now one of the top three K-pop bands globally. So that's one way of looking at brand strength and brand relevance. But another way that I like to look at it is I spent, as you know, I'm spending a lot of time being out in stores, traveling out in the markets. I spend roughly 50%, 60% of my time. And what I keep seeing when I come to big shopping malls is let's say that a shopping mall has 140 -- over 140 brands. And then I meet the owners of the shopping centers saying that 30% of all or over 30% of all the traffic coming to the shopping mall comes to one of our brands. And that, to me, is just a really impressive figure to tap into because think about the consumer today, they have all the choice in the world. They have only so much time and over 30%. And this is something I hear across Europe, I hear it in North America and I hear it in Asia Pacific, but most importantly, translating that into growth. So D2C growth, your second part of your question. So last year, we drove 9% growth in D2C as a company. North America drove 7%, Asia drove 17%, and in Europe, we drove 5%. And the PVH plus execution, the momentum, we translate that into 2024 and it directly connects to growth in North America and Asia. So if you look at D2C growth expected for Q1 and the full year for '24, North America continues mid-single digit. Asia, continued double digit growth. And in Europe, to your question about quality of sales, we see low single digit decline and this is a decline that's a proactive sacrifice that we make in this tougher environment. So the D2C related part of that is making sure that we have less inventory in the market and less inventory to demand and at the same time have higher availability. So you can see that already now in our European business that we have much less outgoing stocked old inventory, less discounted old inventory, much more of the new stocks driving double-digit comp increases. So spring season alone drive double digit comp increases. So what you will see from us on the D2C side is sacrificing some of the top line growth in the near term to position us for long term growth brand accretive increasingly profitable in the long term. And this is a good connection, Zach, to you, if you can lay out the path we see to the 15% operating margin.
Zac Coughlin: Yeah. Thanks for the question, Matt. I mean, we remain just as confident in our ability to deliver the 15% operating margin commitment as you mentioned earlier, excluding the loss of top line leverage this year driven by quality of sales choices, our operating margin would have been around 11.5%. So a significant step forward on gross margin due to gross margin and SG&A work and we've mentioned earlier on the call, we've identified the next round of opportunities and SG&A efficiencies were 200 basis points to 300 basis points. So if you put that together, you're almost there before we even talk about more opportunities to leverage our scale and supply cost, our growth in Asia, which is our most profitable market and further unlocks in North America beyond the 500 basis point improvement we delivered in 2023. I think though with respect to timing of achieving the 15%, our expectations for 2024 obviously makes our 2025 target timing exceedingly difficult. The PVH+ Plan and the five growth drivers are absolutely the right strategy for us to drive sustainable, long term profitable growth. And importantly, given our progress across the P&L, our path to 15% remains fully intact even if it may take a year or two longer.
Matthew Boss: Great color. Best of luck.
Stefan Larsson: Thanks.
Operator: Thank you. Our next question comes from Jay Sole with UBS. Please go ahead.
Jay Sole: Great. Thank you so much. So, Stefan, I wonder if you can elaborate a little bit on the quality of sale initiatives in Europe. I think you mentioned some third party and you mentioned online channels that you want to reduce exposure to. Can you just tell us a little bit about more of those channels, what they're like, why it's important to not distribute to those channels, and what gives you confidence that the quality of sale initiatives that you're undertaking are going to have the desired effects as we look out into fiscal '25 and beyond?
Stefan Larsson: Thank you, Jay. Yes. So Matt's question was related more to D2C. So when we look at the full market, there are three big actions we are taking to increase quality of sales in Europe this year. The first one is mid-year. We are stopping sales of our brands by third parties on digital platforms. So we are enabled by a change in European regulations that makes it possible to do this, which is very important to keep the distribution quality high and keep the pricing power up. The second initiative we take is to reduce the number of digital platforms we sell to. So we will reduce approximately 30% of the platforms we historically have sold to again to focus on the key platforms, our key wholesale partners to increase the quality of sales with them. And the third part is what I mentioned when I answered Matt's question, which was across all channels, we are buying inventory much closer to demand. So again, you see it already now that spring season is up, gross margin is up and old inventory is down. And that's what you will continue to see from us. We're down overall. We are down 20% in inventory and you will see us continue to drive the business with higher quality of sales and less inventory. And that's how we will continue to position ourselves for long term sustainable growth. And the PVH+ Plan is a plan to tap into the unique potential of having two of the most iconic beloved brands globally in the fashion industry and tapping into the DNA of those brands and in a very systematic way drive product strength, consumer engagement strength, marketplace strength and then connecting that to the underlying demand and data-driven engine. And we have talked about that since we kicked off the plan two years ago. And now you really see that we are able to drive much higher quality sales. And for 2024 outlook as well, gross margin and pricing power is up across all regions.
Jay Sole: Got it. Okay. Thank you so much.
Operator: Thank you. Our next question comes from Michael Binetti with Evercore. Please go ahead.
Michael Binetti: Hi, guys. Thanks for all the detail here to help us think this through. I guess first, just tactically, can you help talk us through the bridge through the year from first quarter sales? I think the core is down 7% excluding Heritage and then improving the rest of the year to get to the down three to four at the core. Could you maybe help us break that down between direct to consumer and wholesale, where we would expect to see those improvements embedded and what's driving that? And then I guess, if D2C is, I think Stefan or maybe Zac, you said D2C is planned to be down low-single digits in Europe. Why does that have to stay negative? I know you cited trends in the wholesale channel in January and February were tough, but it sounds like you're pretty encouraged with the spring numbers and maybe that's being weighed down so far in the first quarter by a lot less clearance. But as you get away from that clearance period if the currencies and inventory is working, some of the industry data in some of the big markets in Europe has picked up around Easter. Why couldn't that number improve through the year?
Stefan Larsson: So let me start with your question, Michael, about the D2C expectations for Europe for the rest of the year. It doesn't have to stay this way. What we are doing is we are guiding based on what we see, we see a consumer slowdown in Europe especially on our two biggest markets, Germany and the UK in January, February. So what we're doing is we are making sure that the focus is on quality of sales and we are pulling the inventory down to the trends we see right now. And then, of course, if these changes, we are able to react into that and to follow the demand. But our strategy will always remain the same which is to follow the demand that we see from the consumer and to do it in an increasingly profitable way.
Zac Coughlin: Yeah. And then, Michael, I think your question around sequential improvement throughout the back end of the year, I would say consistent with what Stefan just said, the year we've actually planned quite consistently. We stay away from trying to forecast the macros. We're building the outlook base what we see today. The reason why first quarter looks a little more, little weaker than where our full year guide is from minus six to seven is really tied to some wholesale shipment timing issues. With the 53rd week, there were some shipments pulled into 2023 in Europe because January is a big spring shipment season and some timing shipments out of first quarter into second quarter as we match shipment timing to Europe to when sell out season is focused from there. If you adjust for those two issues, the outlook for the full year is actually quite consistent. And if we looked at retail specifically, where those don't affect, our retail outlook is actually shows that level of consistency throughout the year for our total business.
Michael Binetti: Okay. Thanks a lot, guys.
Operator: Thank you. Our next question comes from Bob Drbul with Guggenheim. Please go-ahead.
Bob Drbul: Good morning. I was wondering if you could spend a little more time on North America. Just the progress that you're seeing in North America. Expand on your comments a bit, specifically just the assumptions for the sales by partner, specifically Macy's assumptions in North America wholesale outlook. Just would love for you to sort of unpack that a bit more just in terms of the broader picture as well. Thanks.
Stefan Larsson: Yeah. Thank you, Bob. As I shared in my prepared remarks really proud of the team, how they're building an increasingly sustainable, profitable base to continue to grow the business. So if you look at the outlook for '24, we see that continue. I mentioned mid-single digit growth in D2C. We actually in comp doors in wholesale with our key partners. We're also for 2024 driving comp sales growth. So what is driving this is the disciplined PVH plus execution. So product focus on driving product category offense that works for both Calvin and Tommy. Innovation in the best must have essentials. The hero products that works across both brands as well. We see as a result, the pricing power and margin expansion. We see that the experience is improved, the improved brand experience for both Calvin and Tommy. If you go onto our website, you see that our experience is significantly improved versus last year. And we see all of this leading to growth in both D2C and wholesale looking into 2024. And when it comes to Macy's, we see it -- continue to see very encouraging performance where we lean in with them into their most important doors. We look at staffing together and we see great effect of the top door focus, the staffing focus, and the product category offense and the key essential focus.
Bob Drbul: Thank you.
Operator: Thank you. Our next question comes from Ike Boruchow with Wells Fargo. Please go ahead.
Ike Boruchow: Hey. Good morning, everyone. Two questions for me, maybe first for Zac, just the gross margin for the year, up 200. That's helpful. Any way you could shape the progress through the year in terms of Q1 and just kind of the drivers and how those kind of flow through the year? And then maybe for Stefan or Zac, when we think about the -- I know we're still a couple of years away but when we think about that licensing business coming in-house, it looks like the revenue base of that business has changed a lot over the past couple of years? I believe a couple of years ago it was around a billion and a half at retail. I believe that your partner is now talking about it being closer to a billion plan for this year. When we think about the ultimate potential for you guys, once you take that in-house, what kind of number should we be keeping in mind? Because it seems to be kind of changing as they kind of like have begun their wind down, it looks like of that business. That'd be really helpful. Thank you.
Stefan Larsson: Thanks, Ike. Let me start on the takeback of our North America women's product categories for wholesale. So we're taking that back over a multi-year period. We're on plan. We have really good partnership with our key wholesale accounts. We have the product engines built, the sourcing built. So everything is lined up to seamlessly connect the women's products that we are bringing in for North America into the PVH plus framework, which is about brand accretive long term growth with pricing power. So all on plan.
Zac Coughlin: Yeah. And Ike, your question around gross margin for the year. So, if you think about how gross margin is improving, two main drivers, it's really the work around macros and supply chain that started in the fourth quarter really showing up last year and carries through, and then the work on quality and sales, which we've begun some of that and talked about it last quarter and fourth quarter as well. So we'd expect to see significant improvements Q1, Q2 and Q3, and then ultimately Q4 being about flat to last year because a lot of the work had begun and showing up. So that's sort of relatively equally weighted with regard to improvement in the first three quarters of the year.
Ike Boruchow: Thank you.
Operator: Thank you. Our next question comes from Dana Telsey with Telsey Advisory Group. Please go ahead.
Dana Telsey: Hi. Good morning, everyone. Stefan, as you think about the wholesale business and the enhancements for the quality of sales, you've mentioned North America and what you expect it to look like. How do you think of the percentage of sales coming from wholesale in Europe and how do you think of it for the brands both Tommy and Calvin? And as you enhance that quality of sales is there distribution in Asia also that needs to be adjusted? Thank you.
Stefan Larsson: Thank you, Dana. When it comes to quality of sales, as I mentioned, the quality of sales actions we take impacts positively both the wholesale channel and the D2C channel. So our focus on wholesale is to continue to get closer to our biggest and most important partners and they will benefit from the proactive actions we are taking in terms of cutting third-party sales of our brands to platforms, reducing the number of digital platforms we sell to have less inventory overall. So the quality of sales will be seen by our partners in Europe and across all regions and in D2C, and you will see us -- you will see us in -- what was your last question, Dana? Part of the question was that in Asia, was that an Asia question?
Dana Telsey: Yes.
Stefan Larsson: Okay. So in Asia, we have high-quality of sales. We are predominantly D2C. So no changes there.
Dana Telsey: Thank you.
Stefan Larsson: Thanks, Dana. We have time for one last question.
Operator: Thank you. Our last question comes from Chris Nardone with Bank of America. Please go ahead.
Chris Nardone: Thank you, guys. Good morning. How are you thinking about the impacts from this Red Sea disruption to both your European and US businesses? And just trying to find out if you're incorporating any freight headwind in the back half of the year? And then as a related follow-up here, you talked about a slowdown in January and February throughout Europe, particularly in your two largest markets. Do you have any other color on how March is doing outside of your comments on this spring business picking up?
Stefan Larsson: Yeah. So let's start on the spring business. So we are in the middle of the Easter selling period and Easter this year is earlier than last year and so far we are on plan. When it comes to Red Sea, it takes us ten days longer to ship around and avoid the Red Sea. So it takes us ten days longer. We don't see it having a significant impact on our overall supply chain. All right. With that, thank you for taking the time today. We are relentless in consistency and focus of the PVH plus execution of driving long term sustainable growth from our two iconic, beloved brands, Calvin Klein and Tommy Hilfiger. And looking forward to catching up on this journey next quarter again. Thank you.
Operator: Thank you. This does conclude today's PVH fourth quarter 2023 earnings conference call. You may disconnect your line at this time and have a wonderful day.